Operator: Good day, and welcome to the Lionsgate Third Quarter Fiscal 2026 Results Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Nilay Shah, Head of Investor Relations. Please go ahead.
Nilay Shah: Good afternoon. Thank you for joining us for the Lionsgate Studio Corporation's fiscal 2026 third quarter conference call. We'll begin with opening remarks from our CEO, Jon Feltheimer; followed by remarks from our CFO, Jimmy Barge. After their remarks, we'll open the call for questions. Also joining us on the call today are Vice Chairman, Michael Burns; COO, Brian Goldsmith; Chairman of the TV Group, Kevin Beggs; Chairman of the Motion Picture Group, Adam Fogelson; President of Worldwide Television Distribution, Jim Packer; and Senior Adviser to the Office of the CEO at Lionsgate and Co-CEO of 3 Arts, Brian Weinstein. The matters discussed on the call also include forward-looking statements, including those regarding the performance of future fiscal years. Such statements are subject to a number of risks and uncertainties. Actual results could differ materially and adversely from those described in the forward-looking statements as a result of various factors. This includes the risk factors set forth in our public filings for Lionsgate Studios Corp. The company undertakes no obligation to publicly release the result of any revisions to these forward-looking statements that may be made to reflect any future events or circumstances. I'll now turn the call over to Jon.
Jon Feltheimer: Thank you, Nilay, and good afternoon, everyone. Thank you for joining us. Today, we're reporting a quarter that not only keeps us on track for our fiscal '26 financial targets, but positions us for significant growth in fiscal '27 and beyond as the investments we've been making into our intellectual property portfolio, translate into strong and growing momentum across our businesses. During the quarter, we launched a new franchise with the worldwide box office success of Paul Feig's thriller, The Housemaid. We expect the sequel, The Housemaid Secret to begin production later this year. Released 12 days before the end of the quarter, the majority of the Housemaid's contribution will fall in Q4 and continue into fiscal '27. Last week, we began production on John Rambo, directed by Sisu's Jalmari Helander, with rising star Noah Centineo from our Lionsgate Television series, The Recruit, and we announced plans to produce one of our most iconic properties, Dirty Dancing, shepherded by Hunger Games producers, Nina Jacobson and Brad Simpson and starring Jennifer Gray. These are part of a growing portfolio of more than 40 active franchise properties that are being extended across multiple platforms, including film, television, video games and live experiences. After teasing it on the Grammy telecast, the next day we released the full trailer of Michael to wildly enthusiastic fan response as we continue to ramp up the campaign for the film's April 24 global rollout. With 3 major tentpoles anchoring our fiscal '27 slate, we expect to continue building momentum generated by The Housemaid and other recent box office successes. Our television group has secured renewals for 12 of our 13 current scripted series. And notably, these renewals, which include the Studio, The Hunting Wives and the Rainmaker are spread across 12 different buyers. And finally, our film and television library achieved its fifth straight record quarter with trailing 12-month revenue reaching an all-time high of $1.05 billion. Turning to our individual segments. Our Motion Picture Group had a strong quarter with the success of Francis Lawrence's profitable and critically acclaimed adaptation of Stephen King's, The Long Walk. Ruben Fleischer, Now You See Me: Now You Don't, which grossed nearly $250 million at the worldwide box office and of course, The Housemaid, as we roll out a diversified slate that spans every genre and budget category. Both The Housemaid and Now You See Me achieved exceptionally strong international box office performances with particularly strong results in the markets where we self-distribute, the U.K. and Latin America, bolstering our position as the only studio licensing a steady supply of major properties to leading international theatrical distributors. As I mentioned, we continue to expand the largest and most valuable portfolio of franchises and other branded IP outside the 5 major studios, fueling our slate with upcoming tentpoles like Michael in April, the Hunger Games, Sunrise on the Reaping in November and Resurrection of the Christ Parts 1 and 2 next March and May, respectively. Behind them, The Housemaid Secret, John Rambo, Dirty Dancing, Caine, the next film from the John Wick franchise, Naruto, American Psycho and new installments of Saw and Blair Witch are all either in production, being readied for production or in fast-track development, a really powerful slate of intellectual property that matches the right creative auspices with the right content. In television, our series continue to perform well across every platform. The Studio, which just began shooting its second season for Apple TV, was one of the most critically acclaimed shows of the year. The Hunting Wives was Netflix's top non-original English language series for the second half of last year and debuted high on their global list of top 10 shows despite only airing on Netflix in the U.S. The Rainmaker was USA Network's most watched freshman series in 7 years. Robinhood has ranked #1 on MGM+ for 9 weeks in a row, and the Rookie has been resurgent in its eighth season on ABC. The Rookie: North spin-off pilot begins shooting in Vancouver later this month and Spartacus: House of Ashur is one of the best reviewed series on Starz with a 92% Rotten Tomatoes rating and performing well across its international platforms. And in a business where renewals are the name of the game, the renewal of nearly every one of our scripted shows anchors a fiscal '27 slate with double the number of scripted episode deliveries and a diversified mix of cost-plus and retained rights models, balancing profitability with long-term value creation. 33% of our record library revenue this quarter comes from our television series, more than doubling the percentage from 10 years ago. Achieving 5 record quarters in a row reflects the work we put into managing and growing that library, enhancing it with new technologies, monetizing it across new buyers and platforms, selectively buying back rights and striking the right balance between acquisitions and organic growth. As a result, we have one of the youngest major libraries of any studio, with 85% of our 20,000-plus titles produced since 2000 and nearly 2/3 of library revenue coming from titles outside the top 50. In closing, we like our place in the media ecosystem and the trajectory of our businesses. Our film and television pipelines are strong. Our library continues to grow, and we're replenishing it with valuable new franchises and brand-defining television series. We're a leading global content company at a time when content is king, critical to AI, essential to our partners and the subject of every conversation around M&A and industry consolidation. We continue to lower our costs and restructure our businesses, so we can move faster and more efficiently than ever before. We continue to align ourselves with our shareholders, adding former U.S. Treasury Secretary and major shareholder, Steven Mnuchin, to our Board, converting our dual share structure into a single class of stock and letting our shareholder rights plan lapse in May. Although there are many disruptive forces reshaping our industry, the rise of AI, the power of social platforms and the increased tempo of M&A, to name just a few. We believe that we are prepared to adapt to all of them as a dynamic, agile and entrepreneurial company positioned for sustainable growth. Now I'd like to turn things over to Jimmy.
James Barge: Thanks, Jon, and good afternoon, everyone. I'll briefly discuss our fiscal third quarter 2026 studio financial results and provide an update on the balance sheet. Lionsgate Studios revenue was up 1% year-over-year to $724 million. Adjusted OIBDA was $85 million and operating income was $36 million. Reported fully diluted loss per share was $0.16 and fully diluted adjusted earnings was $0.01 a share. Net cash flow used in operating activities was $109 million, while use of adjusted free cash flow for the quarter was $58 million. Trailing 12-month library revenue continued to demonstrate strength with growth of 10% year-over-year to $1.050 billion and reached record levels for the fifth consecutive quarter. Now breaking down our performance in the quarter, I'll start with a discussion of our Studio segment profit. Studio segment profit, which reflects our Motion Picture and Television segment profits before corporate overhead expense has grown sequentially throughout the fiscal year and was $114 million in the quarter. This sequential cadence reflects the back end loaded fiscal year we previously outlined, and we expect it to continue into Q4. We reference our Studio segment profit because this metric is generally more comparable to the studio OIBDA figures reported by many of our peers as most other media companies do not include corporate overhead expenses in their reported studio results. Moving to Motion Picture. Revenue grew 35% year-over-year to $421 million, driven by the release of Now You See Me: Now You Don't, The Housemaid and Good Fortune. Segment profit expectedly declined year-over-year to $59 million, primarily on the timing of P&A spend to support 3 wide theatrical titles, including the December 19 release of The Housemaid. The quarter included approximately $100 million of P&A spend in the U.S., which is helping drive future value across our release slate and replenishing library. Looking ahead, we expect Motion Picture will end the fiscal year strong as we have significant carryover box office from The Housemaid and an increase in the number of titles entering their pay-one window in Q4. As we outlined last quarter, there will be some P&A spend in the fourth quarter tied to the April release of Michael. But we are confident this and other key tentpole theatrical releases in fiscal '27 will drive robust growth in our Motion Picture business. Moving to TV. Revenue was $303 million, and segment profit was $56 million. Revenue and segment profit were expectedly down year-over-year due to the previously mentioned timing of episodic deliveries in the quarter, partially offset by strength in television library revenue. As a reminder, the prior year third quarter included the financial contribution from the inaugural season of the Studio, creating a difficult comparison. As Jon highlighted, the television group has already secured renewals for an impressive 12 out of 13 of its current scripted series, which reinforces our confidence in achieving our previously outlined goal of doubling scripted episodic deliveries in fiscal '27. Now let's take a look at the balance sheet. We ended the quarter with $1.75 billion of net debt and leverage expectedly increased to 7.4x due to lower trailing 12-month adjusted EBITDA. The revolver had $770 million of undrawn capacity available at the end of the quarter, and we had $213 million of cash on the balance sheet. We anticipate leverage will meaningfully decline from these levels as adjusted OIBDA and free cash flow improve. Additionally, our backlog remains elevated at $1.5 billion, up 26% year-over-year. As you will recall, backlog represents off-balance sheet contractual orders not yet delivered and is indicative of the visibility we have in future revenues and cash flow. Looking forward, we anticipate exiting the fiscal year with significant momentum heading into fiscal '27 across both our Motion Picture and television businesses, with Q4 adjusted OIBDA expected to improve materially from Q3 levels on strong theatrical carryover. With continued carryover profit from our fiscal '26 film slate, a tentpole heavy fiscal '27 release schedule and increased scripted episodic deliveries, we remain on track to deliver strong adjusted OIBDA growth in fiscal '27 relative to fiscal '25. Now I'd like to turn the call over to Nilay for Q&A.
Nilay Shah: Thanks, Jimmy. Operator, can we open the lines up for Q&A?
Operator: [Operator Instructions] The first question comes from David Joyce with Seaport Research Partners.
David Joyce: I appreciate that 2027 is shaping up very strongly with theatrical releases that we've been talking about and the doubling of episodic deliveries on the TV side. What can give us confidence in the sustainability of these volumes and the profitability of the business model given the backdrop of industry consolidation? What would you see happening in terms of the buyers or other platforms where you can monetize your content?
Kevin Beggs: David, it's Kevin Beggs responding. We're seeing some really nice green shoots in the market, a number of players that we hadn't been working with before that we're doing more with. Jon pointed to The Rainmaker on USA. That's been a really great new partnership. They've been out of scripted for a while. This is moving into a second season, performed well. We have a hit in Robin Hood with MGM+. We had previously not worked there. We have more in development there. Many of the buyers that were kind of slowed down or taking it a little more carefully are opening up more commissions. We continue to find entrepreneurial ways to get shows on the air via cost-plus and/or deficit models. Our distribution team is so strong. We're getting commissions in international markets, bringing those shows back into the U.S. So -- and many of the shows referenced are long-running shows, The Rookie and Season 8. It's been a great success for us in ABC. So those are the reasons that we feel quite bullish about this cadence maintaining in place and holding, but it's not easy and requires 24/7 attention and the kind of entrepreneurial ideas that we bring to the market every day.
Jim Packer: David, this is Jim Packer. One thing I would say also from a buying perspective, if you just look at our trailing 12 months and the directional number, it's obviously a new benchmark. We always have an ebb and flow with buyers. Certain buyers are slowing down because of mergers or acquisitions or various things, but others stand up and start to fill those voids. I don't have a streamer that I need to take into consideration, so we can really play the market. And I think overall, the trends are going to continue. And I also have a slate coming in from Adam of Now You See Me, Dirty Dancing, Hunger Games, another Wick and SAW. If you look at those franchises, all of those have other film and TV products associated with them, and that helps my drag along. So I feel pretty good about it.
Michael Burns: Yes. And I would say from a macro, David, both the potential existing bidders are talking about more movies bolstering their streaming platforms on a global basis. And at the end of the day, a stronger scaled streamers are going to be better for us in terms of original content, going to be better for us, as Jim was saying, in terms of selling library. So I don't think -- I think sort of the thesis that this consolidation is going to be a negative. I kind of see it the other way. I think it's going to be a positive. They both want to do movies. I think they're both committed. David just did in the U.K. in his speech to really a big slate of movies. And so -- and we want more movies in the marketplace. We think that's bringing the audience already back to the theater. So we think we're heading towards a nice macro environment.
Operator: The next question comes from Thomas Yeh with Morgan Stanley.
Thomas Yeh: One more maybe on the health of the more immediate downstream window for Motion Picture. There was a big pay-one deal struck recently, obviously, and I know you have an Amazon agreement kicking in as well. When you have a success like Housemaid, how should we think about the carryover benefits, particularly just in the context of the pay-one monetization of that, and whether you see maybe home video rental market as something that could be strong as well? Or does that get squeezed by pay-one becoming more prominent? And then on the AI front, I saw the appointment of a Chief AI Officer. Maybe give us an update on the Runway partnership and what other avenues you're maybe looking to unlock here with that position, that would be very helpful.
James Barge: Yes. On Housemaid, great carryover. Thanks. It's fantastic. And pay-one will be rolling over. We're very excited about that as part of the carryover into Q4, and then obviously, major carryover into '27 on Housemaid's and quite frankly, the entire fiscal '26 film slate. So we're really excited about that.
Jim Packer: Yes. Thomas, I would say also on the pay-one environment in general, I think the Sony Netflix deal solidified the fact that pay movies are some of the most valuable content out there. We saw it, we have a great pay-one deal with Starz. We have Amazon after Starz. Housemaid, as you mentioned, is actually going to be Starz and HBO. But really, the key for us is that right after these pay-one windows are over, you have multiple years that you can go into the open market and people can really bid on these titles. So the beauty of having a Housemaid is we haven't had one of kind of this level in a while. So that's going to really, I think, help the entire team and we go out to an ecosystem that can have a shot at something that's going to be a great, I think, a great bidding situation for us.
Michael Burns: And I'll answer your question on AI. Look, we have the opportunity to bring in somebody, Kathleen Grace. You read about her. Somebody who obviously has a very strong grasp of AI, of the AI ecosystem. She's going to report directly to me that shows how important this is as we integrate it into every facet of our business. I should point out, she comes from both a creative background as well as from a company, [ Vermilion ] that really their whole mandate is the protection of creators and talent in respect to AI adoption. So that's a real priority for us. In terms of Runway, look, we have a really strong relationship with Cristobal and all of his people and are experimenting in a lot of ways. And I would say Kathleen will be the point person for us, the point of the spear in terms of any conversation we have, and I expect to have some pretty interesting ones with all of the major AI companies in terms of potential future partnerships.
Operator: The next question comes from Omar Mejias with Wells Fargo.
Unknown Analyst: It's [ DK Hall ] on for Omar. Since I'm on the call tonight, I might squeeze a few in, if that's okay. First, Jon, I was just hoping to follow up on your comments on AI. If you could just talk a little more about some of the broad initiatives for the company. I know I think Jim Packer has some benefits in his business in programming fast channels. We've heard there's things like reshoots and visual effects that can benefit as well. So in addition to the partnerships, I'd love to just know how you're thinking about kind of infusing it into the business day-to-day. Michael, I saw you on CNBC in December, you talked about the success of The Housemaid and another face-based film that maybe was at Lionsgate. But I'm just wondering, as you look at kind of the middle budget targeted area, what you're most excited about for the slate beyond Michael in fiscal '27? And then finally, Jimmy, just you talked a lot about the EBITDA growth coming ahead. Do you see any pathways to inorganic deleveraging as well as organic deleveraging as you look ahead?
Michael Burns: Let's start with Adam.
Adam Fogelson: Yes. So as it relates to the opportunities in the mid-budget space, we're excited to be working off of the success that we've had recently. Obviously, The Housemaid was an incredibly well-priced film that's generated massive returns. Similarly, The Long Walk was loved by critic, loved by audiences, and we work with Francis Lawrence and our talent partners to make sure we made it for a price where it could deliver a spectacular return on investment. We've got a couple more coming in the very near future. Strangers is the third chapter of a Trilogy made for such an incredibly smart and responsible price that we're looking at fantastic results, and I can only imagine follows right on its heels. Sequel to the highest grossing faith movie that the studio has had. And we've got a bunch of other films coming that fit into that category. So alongside -- the tentpoles, alongside the Michael's and the Hunger Games and the Resurrections, we've got a bunch of films in the low and mid-budget category that we feel really good are made with the right creative partners, made for the right price, have a marketing hook embedded in the idea that we can work off of. And when we look at the slate in total, we think we're going to turn out some really good returns.
Michael Burns: Yes. I'll take -- I'll drill down more with you on AI DK, but you covered a lot of ground, frankly. You talked about scheduling FAST channel. Yes, we're doing that postproduction, enhancing some of the effects, something I think I may have mentioned before, we certainly used it on Spartacus very effectively to open it up, expect to use it even more, plan for it a little bit more this year. We use it for [ previss ] in the Motion Picture business. We're looking at it in enhancing in some ways, some script revisions, things like that, obviously, working with the writers. If we are -- we certainly, have it integrated into all of our technical operations, obviously, that's a reasonably easy one. And if we're playing with it in any original creation ways, maybe we are, but I'm not going to talk about it.
James Barge: Yes. And Omar, your question about inorganic delevering, if you will. Certainly, 3 Arts would be an opportunity to delever. But we're in a position of strength there. That's not the primary objective. I would really go more to give you comfort on the organic delevering that will naturally occur. You see the pipeline; you see the backlog of $1.5 billion. 80% of that is future revenue and cash flows that come in, in the next 15 months, okay? So we are going to naturally -- we said this was the peak leverage. We're naturally with trailing 12 months and free cash flow, not only back-end loaded this year, but the carryovers into '27 and the significant growth into '27, feel really good about that delevering. I will tell you; we're going to be -- I would expect to be in kind of the mid-4s by the middle of fiscal '27 and that 3 to 3.5 range where we would more likely be in fiscal '28. So that's just happening naturally.
Operator: The next question comes from Brent Penter with Raymond James.
Brent Penter: First one on the M&A topic you brought up. Warner Bros. obviously commanding a very high valuation and has had 3 large, sophisticated bidders. The question is, why now? Why do you think there's so much interest in this kind of studio asset now in particular? And for Lionsgate, it seems like you all have more openly talked about M&A recently and you're letting the poison pill expire. So the same question to you all in terms of why would now make sense for you to participate in M&A versus sometime in the past?
Jon Feltheimer: Do you want me to answer.
Michael Burns: We think that -- it's Michael. We think that recognizable world-class IP has never been more valuable, and you're certainly seeing a validation of premium content when you have those well-heeled players pursuing Warner Bros. We don't know who's going to end up with that, but we do believe that, that is the first domino to fall.
Brent Penter: Okay. Okay. And then a financial question. So on OIBDA, my understanding has always been OIBDA gets hit for the financing cost of production loans on films, which is why we don't include those in net debt or EV valuation multiples. Can you just update us on how much film financing cost there is above the line that hits OIBDA?
James Barge: Yes. I mean, naturally, whether you're using production loans or not for working capital or to bridge and true up cash flows between cash out and cash in and better align, you capitalize industry, you capitalize interest above the line, and that becomes part of your production cost that amortizes through. So that's just fairly natural. For us, it's really more about managing our working capital, right? It's a great source, if you will, of film obligation that matches up cash outflows, which naturally occur 12 to 18 months ahead of release or delivery of episodic deliveries, and it's just a nice mechanism like any other working capital on the balance sheet to match cash flows. It's just good financial discipline.
Operator: The next question comes from Vikram Kesavabhotla with Baird.
Vikram Kesavabhotla: My first one is on Michael. Just wondering if you could talk more about the Reception to the marketing efforts there. You released the official trailer a few days ago. How has that performed relative to your expectations? And what else are you monitoring in terms of the data points to inform the potential success of that film? And then separately, you talked about extending the value of your IP into other areas like video games and live experiences. Could you talk more about how some of those initiatives are going? And what are some of the latest examples of where those strategies have been particularly impactful?
Adam Fogelson: Sure. It's Adam. Thanks for the question, Vikram. So with respect to Michael, the -- I can tell you that we've now started screening the movie pretty actively, and the response to the movie itself has been extraordinarily positive. So we love the film that's been made, and that's a great thing to have in our pocket, and we're excited for everyone to get to see it. In terms of the release of this latest trailer, it once again has broken records for us. It is by far the highest viewed music biopick trailer you can find, and it sits at the top end of views alongside some of the biggest movies that have happened over the course of the last decade. Obviously, in addition to views, we're monitoring sentiment. We're monitoring engagement. We have very sophisticated tools that are available to everybody, but we have very sophisticated tools to be able to identify how people are responding to the content, to what extent they're passing that content along and talking about it with other people. And every single metric is in a very strong place. When you add that to the commitment that the IMAX and large formats have made to wanting to make sure that we've got an incredible footprint there and the enthusiasm we're seeing from every territory around the world, it's very, very encouraging. And you never want to count your chickens before they're hatched, but this feels like it has lined up in an extraordinarily strong way. With respect to your second question, look, the financial benefits of our non-theatrical opportunities will take a couple of years to fully materialize, but we have made significant progress on every platform. We opened the Hunger Games Live in London to terrific reviews and incredible attendance. We opened the Now You See Live event in Australia, again, great reviews and spectacular attendance. Our Wonder State Show has gotten incredible reviews in Boston, and we're excited to talk about what the next opportunities are there. Dirty Dancing and La La Land both have great plans that are coming together for their live stage. And on the games front, we'll have a lot more to say about John Wick, which we've been talking about for a while, but I think there's going to be some really exciting stuff to talk about in the near future, not only on that, but a couple of the other projects as well. So there has been real and significant progress over the last 18 months, and we think that there'll be a lot of good stuff not only to talk about in terms of response, but to talk about in terms of revenue contribution.
Operator: The next question comes from Peter Supino with Wolfe Research.
Unknown Analyst: Jack [ DiD ] on for Peter. I was hoping if you could unpack the sources of growth for your library revenues and the contribution from FAST services.
Jim Packer: Jack, it's Jim Packer. Well, first of all, again, as I said earlier, the trajectory of it has been strong. It's really driven by our core of film and TV. This particular quarter, we had a lot of Hunger Games revenue flowing through with some pay windows, delivering a new season of Ghost to Paramount+. And then obviously, I'm sure everybody has known and read about Mad Men going to HBO Max. And that was another thing that happened this quarter that was very, very helpful. And really, if you look at the new platforms and you look at what we're doing with self-directed licensing, it's FAST, it's AVOD rev share, Amazon add-on channels. That's a very consistent piece of revenue for us. It's around 6% of this number growing next year, hopefully to between 10% and 15% of our trailing 12. And then lastly, you just look at it at our EST and VOD, which is the rental and the buying of movies and TV shows globally, that transactional piece is about 10%, and it's very consistent, very strong. And as new movies come through, as I mentioned earlier, with all of these franchises that Adam's team is revitalizing, all of that content gets benefited. So it ultimately helps it. So I feel pretty good about it, and all of its coming together to keep the numbers high.
Operator: The next question comes from Matthew Harrington -- excuse me, Harrigan with Benchmark.
Matthew Harrigan: The other interesting implication on the TV scripted doubling apart from the effect on the LTV, if you manage to sustain that is how you're able to scale that. Certainly, AI helps and people believe in the long run, you can see the software stock sell off and the transformational effects expected there. But certainly, in the near term, you could argue that the benefits are over hiked as early isn't showing in a lot of macro numbers. But how -- it seems counterintuitive that you can -- I mean, you're not making widgets and even doubling the amount of widgets in a given year is pretty high hurdle. But -- and you've been really keeping a tight cap on costs. So how are you managing to accomplish that? That seems like a pretty herculean feat just in terms of getting it done.
Kevin Beggs: Matthew, it's Kevin again. Well, I think a lot of -- look, we're coming out from under the overhang of the strike. It always takes a lot longer. COVID was still impacting things long after it ended, if you will, for day-to-day living. And 2 -- one big piece of the chest puzzle came into focus with Skydance completing the acquisition of Paramount and Paramount+ expanding its business to more third parties, and I think they're going to do more as they've talked about and discussed. And in general, the kind of chill that can prevent buyers from taking a few more risks or getting a few more budgets approved for series is thawing a little bit. And we -- because we can produce quite effectively economically, both the highest premium kinds of shows like something like the studio, which is a Critical Darling, but also just a terrific hit for Apple, but also find a way to work economically with some other platforms that don't have the kind of budget capacity of Apple and find ways to make that work. It makes us an attractive partner. And Jim and Agapy's team really chasing down international numbers that make these formulas work is critical. As a studio that deficit finances when we need to, that distributes all over the world. There are only a handful of companies that do that, that are independent, only 1 or 2 that aren't beholding to their internal streamers, which is what Jim alluded to. So we just become a really good dance partner. And right now, the cadence of the dance is moving up a little more quickly than it was a year ago.
Matthew Harrigan: And clearly, you have the people to do that in place.
Kevin Beggs: We have an amazing team. We have got an incredible group that I'm honored and humbled to work with across our scripted and unscripted groups. And obviously, the partnership with 3 Arts continues to provide great dividends. Hunting Wives is an amazing success story for our 2 units and one for Netflix and our international partners around the world. We look for those opportunities and really convert on them when we find them. Part of it is being nimble and quick, quick decision-making that comes from the top down from Jon to myself and Sandra and our group and really just top creative people in Scott and Jocelyn and me and my group. And that's the secret sauce. Part of it is being nimble enough to move on these opportunities quickly.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Nilay Shah for any closing remarks.
Nilay Shah: Please refer to the Press Releases and Events tab under the Investor Relations section of our website for a discussion of certain non-GAAP forward-looking measures discussed on this call. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.